Operator: Good day, everyone, and welcome to the Ryerson Holding Corporation's Second Quarter 2021 Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Ms. Justine Carlson. Please go ahead, ma'am.
Justine Carlson: Good morning. Thank you for joining Ryerson Holding Corporation's Second Quarter 2021 Earnings Call. I'm here this morning with Eddie Lehner, Ryerson's President and Chief Executive Officer; Mike Burbach, our Chief Operating Officer; Jim Claussen, our Executive Vice President and Chief Financial Officer; and Molly Kannan, our Controller and Chief Accounting Officer. John Orth, our Executive Vice President of Operations, will be joining us for Q&A. Before we get started, let me remind you that certain comments we make on this call contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements involve a number of risks and uncertainties, including the impacts of COVID-19 and related economic conditions that could cause actual results to differ materially from those implied by the forward-looking statements. Such risks and uncertainties include, but are not limited to, those set forth under Risk Factors in our annual report on Form 10-K for the year ended December 31, 2020. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date they are made and are not guarantees of future performance. In addition, our remarks today refer to several non-GAAP financial measures that are intended to supplement but not substitute for the most directly comparable GAAP measures. A reconciliation of the non-GAAP financial measures discussed on today's call to the most directly comparable GAAP measures is provided in our second quarter 2021 earnings release filed on Form 8-K yesterday, which is available on the Investor Relations section of our website. I'll now turn the call over to Eddie.
Eddie Lehner : Thank you, Justine, and thank you all for joining us this morning to discuss our second quarter 2021 results. I would like to begin this morning by thanking all of my Ryerson teammates for executing an extraordinary quarter as we posted our strongest quarterly revenue since 2008 and record adjusted EBITDA, excluding LIFO. Every day across the organization, we demonstrated our say-yes-and-figure-it-out culture by always finding a way to get the job done safely amidst an environment of rolling turbulence. I also want to thank our customers for every opportunity to earn your business and our suppliers for their continued support in this pandemic-infused supply-constrained economy. At a macro level, elevated pricing dynamics are an ongoing consequence of supply being unable to meet demand in the short term, but there are cyclical and secular factors signaling a longer-duration recovery for fixed assets and manufactured goods. As we emerge tenuously from the pandemic and its unpredictable twists and turns, we see supporting variables of monetary policy, fiscal policy, trade policy, demographics, infrastructure investment, decarbonization, domestic supplier consolidation and demand fundamentals as net favorable against ongoing public health risks, labor pool shortages, supply-side dislocations and geopolitical volatility. We're not declaring an end to cyclicality in our industry but noting strong secular growth underpinnings that have been suppressed for a long time as well as changing societal needs favoring recyclable, industrial metals and likely, higher floors and ceilings for demand and price over the next several years. Relating this base case environment to Ryerson, through the first half of the year and looking forward, we have realized favorable operating leverage because of decisions made and actions performed since our IPO in 2014 that are enabling us to build a stronger and better Ryerson under all conditions. We have managed the business exceedingly well despite being far from perfect as evidenced by our EBITDA generation, debt reduction, legacy liability derisking, asset monetizations, working capital management, expense management and safety performance. Given what we believe is the future trajectory of the company, given present conditions, past performance and confidence in the ongoing execution of our strategic plan around the customer experience, Ryerson's Board of Directors approved 2 new and vital elements to our capital allocation plan, an $0.08 per share quarterly dividend and a $50 million share repurchase program. This is a confidence marker and a clear indication that the enterprise value shift from debt to equity is underway and that the enterprise multiple is more a relic of the past than a fair valuation representation of the present and future. I'll now turn the call over to Mike to discuss the second quarter pricing and demand environment.
Mike Burbach: Thank you, Eddie, and good morning, everyone. Turning to the commodity environment. The price increases in carbon products that began in the second half of 2020 have continued to climb as lead times remain extended. No capacity has been above 80% for the past several months and futures prices remain elevated through the year. Likewise, LME aluminum ended the second quarter approximately 11% above the first quarter's ending price. It has continued to rise into the third quarter on strong global demand against tightening supply conditions driven by recently announced export fees in China and Russia, for example. LME nickel prices similarly appreciated during the quarter, rising approximately 9% in the same period, supported by strong demand, constrained supply and longer-term secular events around electrification. At this point, we anticipate that prices across the 3 of our primary commodities will remain elevated through the third quarter and that price normalization will be gradual, given supportive demand conditions and longer-term trends. Expanding on the demand environment, macroeconomic indicators continue to report improved conditions in the second quarter. The ISM Manufacturing PMI index read above 60 for each month in the second quarter, well above the growth threshold of 50 while U.S. industrial production reported strong year-over-year growth rates against the pandemic environment experienced last year. While North American industry shipments as measured by the Metals Service Center Institute, or MSCI, reported relatively flat volumes quarter-over-quarter, Ryerson's North American volumes in the same period grew by 2.9%, resulting in market share growth. Turning to Ryerson's second quarter customer activity. We noted shipment improvement in our industrial equipment, in food and agriculture sectors on a per-day basis compared to the first quarter of 2021. We also noticed sequential strength in our commercial ground transportation sector, and we continue to receive positive demand forecasts from these customers despite persisting supply chain challenges. However, our consumer durable metal fabrication and machine shop in HVAC sectors reported declines relative to the first quarter of 2021 on a North American per-day basis as backlog turnover has been hampered by ongoing supply-side disruptions. With that, I'll turn the call over to Jim for our third quarter outlook.
Jim Claussen: Thank you, Mike, and good morning, everyone. Building on the market dynamics that Mike discussed, while we remain mindful of the challenges posed by our current operating environment, Ryerson is optimistic about the third quarter business environment and anticipates reporting another record quarter. At this point, pricing across all 3 of Ryerson's primary commodities continues to be elevated, while volumes are expected to soften modestly affected by normal seasonality, pandemic-induced volatility and ongoing supply-side tensions. Therefore, Ryerson anticipates third quarter 2021 revenues of $1.5 billion to $1.6 billion, assuming sequential average selling price growth of 10% to 12% and shipments flat to down 3%. LIFO expense in the third quarter is expected to be in the range of $88 million to $92 million as replacement costs continue to increase relative to average inventory costs. Given these expectations, adjusted EBITDA, excluding LIFO, is expected to be in the range of $208 million to $212 million and earnings per diluted share are expected to be in the range of $1.63 to $1.73. Turning to Ryerson's asset management in the second quarter. Inventory days of supply increased to 63 days, up from 61 days in the previous quarter. Our inventory levels remain slightly below our through-the-cycle target range but are reflective of the industry-wide supply tightness, low channel inventories and effective inventory management practices. Our inventory levels, coupled with continued management of our receivables and payable cycles, resulted in a cash conversion cycle of 55 days. Our free cash flow was strong at $126.3 million, and our average free cash flow yield was 23% in the second quarter. Capital expenditure investment in the quarter totaled $6.8 million or $13.3 million year-to-date. Ryerson's continued focus on deleveraging and derisking the balance sheet has yielded a substantial reduction of our annual fixed cash commitments over the past few years. This effort led to the newly announced capital allocation plan, which provides additional return to shareholders, while still allowing us to continue our deleveraging path and provide ample liquidity to fund our growth initiatives. Celebrating 3 years within the Ryerson family, Central Steel & Wire Company, or CS&W, has made remarkable progress on its transformation since the acquisition. CS&W has effectively repaid $107 million of its $164 million adjusted purchase price through working capital optimization alone, realized $50 million in 3-year structural cost takeouts, sold noncore assets of $44 million, completed an ERP conversion to SAP and introduced proprietary software and systems to the business. In all, over the 3-year period, CS&W's ROI has exceeded expectations and operates as a much stronger franchise today. For the second quarter, CS&W generated $140 million in revenue and approximately $20 million in adjusted EBITDA, excluding LIFO, or approximately $250 million and $30 million, respectively, for the first half of 2021. With further capital improvements planned, we are optimistic about CS&W's future as the business progresses towards its annual long-term mid-cycle target of $600 million in revenue and $50 million in adjusted EBITDA excluding LIFO. Now I'll turn the call over to Molly to provide further detail on our second quarter financial results.
Molly Kannan: Thank you, Jim, and good morning. In the second quarter of 2021, Ryerson generated revenues of $1.42 billion, which exceeds the range communicated in our second quarter guidance, with average selling prices up 20.1% and volume up 2.9% from Q1 2021. Gross margin expanded to 18.1% compared to 17.2% for the first quarter of 2021 as selling price growth outpaced inventory costs. Reflective of the environment's continued rapid and escalating industrial metal price increases, most notably in carbon steel, included in second quarter 2021 gross margin is LIFO expense of $105 million, which exceeded the previous period's LIFO expense of $84 million. Excluding the impact of LIFO, second quarter gross margin expanded by 90 basis points from the first quarter of 2021 to 25.5%. Net income attributable to Ryerson Holding Corporation for the second quarter was $113 million or $2.91 per diluted share compared to net income of $25 million or $0.66 per diluted share for the previous period. Included in second quarter 2021 net income is a gain on the sale of assets of $87 million related to sale-leaseback transactions completed during the period, reflecting opportunistic monetizations of a portion of Ryerson's owned and appreciated industrial property portfolio. These transactions, which generated net proceeds of approximately $137 million, enabled the company to improve the capital structure by taking out higher-cost debt and its related interest expense. Adjusted net income attributable to Ryerson Holding Corporation, excluding the gain on sale of assets and the associated income taxes, was $48 million for the second quarter of 2021 or $1.24 per diluted share. This compares to first quarter 2021 adjusted net income of $10 million or $0.26 per diluted share, which excludes a gain on sale of assets and the associated income taxes. Ryerson generated adjusted EBITDA, excluding LIFO, of $197 million in the second quarter of 2021, an increase of $74 million compared to the previous quarter. To put our results into perspective, our adjusted EBITDA, excluding LIFO, was $321 million in the first 6 months of 2021, which not only exceeded the first 6 months of 2020 of $55 million, but also exceeded full year 2018's $308 million, which was our previous period in which we saw record results since Ryerson was acquired by Platinum in 2007. Ryerson decreased total debt during the second quarter by $141 million through repayments to the asset-backed credit facility. As a result of this reduction and our increasing trailing 12-month adjusted EBITDA, excluding LIFO, the company achieved a leverage ratio of 1.5x for the quarter, down from 3.3x in the first quarter of 2021 and well within our long-term strategic target range of 1 to 2x. In addition, we furthered our financial transformation during the quarter by closing the aforementioned sale-leaseback transactions and utilized the proceeds to repurchase $100 million of our outstanding 8.5% senior secured notes due 2028 at a price of 104% in July. During the quarter, we also announced our second $50 million notes redemption at a price of 103%. These July redemptions decreased the amount of our outstanding senior secured notes to $300 million, a decrease of 40% compared to the original $500 million principal. This $200 million reduction in the notes has reduced our annual interest expense by $17 million. At the same time, Ryerson's liquidity again increased significantly and the company ended the second quarter with $890 million of global liquidity. This increase was driven by proceeds from the sale-leaseback transactions and excellent working capital management as well as the company's rising adjusted EBITDA excluding LIFO. In all, Ryerson's second quarter results highlight both our improved operating model and the important balance sheet improvements we have made to date. With that, I'll turn the call back over to Eddie to conclude.
Eddie Lehner: Thank you, Molly. As we move through the third quarter, we remain resilient amidst the persisting challenges committed to our self-help strategies and above all, optimistic about Ryerson's future as we see proof that our advancements are synchronizing and compounding. While Ryerson's durability has remained intact for 179 years, we are not the same company that we were just 7 years ago. Our improved operating model is producing strong results and our financial transformation is taking shape, enabling us to reduce our leverage multiple and fixed cash commitments. Instead, Ryerson is entering its next phase with higher through-the-cycle earnings, stronger free cash flow generation and increased investments in digitalization and value-add capabilities. In all, this reconstruction delivers greater value to shareholders, both through a new quarterly dividend and through equity value accretion as we continue to create exceptional customer experiences at speed and scale through our intelligently interconnected network of service centers. With that, let's take your questions. Operator?
Operator: [Operator Instructions] And we'll take our first question from Michael Leshock with KeyBanc Capital Markets.
Michael Leshock : So my first question, I just wanted to ask in terms of daily demand. What did you see in July versus 2Q as a whole? I'm just trying to get a feel for the cadence of momentum that you saw in the quarter.
Eddie Lehner: Yes, I'm going to kick it over to Mike in just a second. I would preface it by saying that demand was slower coming out of extended 4th of July holiday. And it's very consistent with what we noted in the release and in the script around there being supply-side constraints that are kind of throttling or metering backlog realizations. Mike?
Mike Burbach : Yes. Thanks, Eddie. Michael, yes, I think Eddie hit it right. July historically has had some seasonal issues, which was true again this year. But I think besides what we see in the numbers, what we're hearing from our customers is positive. Sentiments remain strong. We continue to hear about build schedules that are growing in a number of end markets, but we also continue to hear about the challenges that our customers are facing with labor and different supply chain challenges. So it's a good message. I think the demand is there. I think it's a reality that sometimes our customers have more demand than we're able to produce but the backlogs are growing.
Michael Leshock: Got it. And on that, is there any incremental OpEx creep that you're seeing in the third quarter, given any further inflationary pressures? And if there are, what are the primary costs that are driving that, whether it be labor, freight, raw materials or otherwise?
Eddie Lehner: Yes, we've been pleasantly surprised in that we know that the cost-push pressures are certainly very apparent throughout the economy and in the industrial economy. We've done a really good job variabilizing our cost structure. So we're seeing costs increase much more on the variable side of the ledger, whether it's variable compensation or it's things that really move up and down with volume. But certainly, there is some cost inflation through the value chain. And I'm going to go ahead and kick it over to John Orth, and John can give you a little bit more color on that.
John Orth: Thanks, Eddie. Michael, there are definitely inflationary pressures that we encountered throughout the year. Looking into Q3, though, however, we feel our work around optimizing our end-to-end supply chain and looking at best practices from an operating perspective, we are offsetting as many of those as possible. Freight, as you know, continues to be a very tight market. However, it appears to be easing slightly. And once again, the algorithms that we are developing around managing our interconnected freight network allow us to offset as many of those as possible.
Michael Leshock: Got it. That's very helpful. And then I wanted to ask on the -- what markets, from an end-market perspective, are stronger than others. And specifically within oil and gas, I wanted to get your take what you're seeing there given the oil price run-up and maybe the beginning of some modest improvement in CapEx budgets. What's your outlook there?
Eddie Lehner : Yes. I mean starting with oil and gas, I think the keyword is modest. And I think there's a lot of information in the general press supporting the idea that investment is going to be gradual in terms of offsetting decline curves and hydrocarbon extraction. But we're seeing really strong demand report out. It's just getting at that demand. It's getting through those backlogs with the input constraints and we see those backlogs extending and rolling over. And I'm going to kick it over to my brother, Mike Burbach, and he's going to give you some more info on that.
Mike Burbach: Thanks, Eddie. Michael, so yes, Eddie touched on what we're seeing in oil and gas. It's, I would say, incremental at this stage. Our volume in Q2, relatively flat compared to Q1 in that space. We think we'll continue to see incremental gains. We're seeing inventory levels in the supply chain normalizing a bit. So that could change the dynamics a little bit. But right now, lots of puts and takes that are keeping large swings happening from one way or the other due to the supply chain challenges. Beyond oil and gas, as we noted in the release, we saw some end markets sequentially showing improved conditions, industrial equipment, food and agriculture, commercial ground transportation, all 3 of which continue to grow as the year progressed in the story, as Eddie mentioned, is positive. The feedback we get on backlogs and future production requirements that our customers are expecting us to help them come up with the materials is pretty solid. There were some softness in Q2, but I wouldn't say it was something to get alarmed about. Consumer durables and HVAC, in particular, have been very strong end markets for us through the pandemic in the early part of this year, and they had a little slight decline in Q2 but remain very strong. And our fabrication and machine shop end markets as well had slight softness in Q2.
Eddie Lehner: One of the things I would note, Michael, is that some of the end markets that were lagging through the pandemic and even through the early stages of the reopening are really starting to come around. It's more of a backlog turnover challenge, but some of the more lagging verticals, especially around machinery and equipment, whether it's in ag or mining or general machine and equipment supporting the broader industrial economy and really where cyclical and secular investments are going, we're starting to start to see real pickup in activity across those end markets, which is a real positive for us.
Michael Leshock: And then lastly for me, how much have you tapped the import markets, given that -- how tight domestic capacity has been? And any color you could give around imports going forward?
Eddie Lehner: Yes. I mean I -- look, I think imports are sort of a comforting abstraction at this point. I mean even though the numbers are up, they tended to be more slab-oriented. There is some more finished product coming in, but the lead times are all over the place, and they're extended and long. And I think with some of the recent indicators from the pandemic and the variants, getting those orders filled and getting them dependably across the water is a continuing challenge. So there's no doubt that I think folks are going to look to import more as a release valve, but we are not. We're not importing more, and we really don't see the opportunities as being all that attractive relative to the risk.
Operator: [Operator Instructions] We'll go next to Joel Tiss with BMO.
Joel Tiss: Eddie, that's quite an entourage that you built up over there.
Eddie Lehner : It's a hell of a team, Joel. It's a hell of a team.
Joel Tiss: Yes. Got it. Everyone definitely deserves a lot of credit. This is unbelievable from -- since the first day I met you. It's a pretty amazing transformation. Is there anything...
Eddie Lehner: We keep getting better and you keep catching bigger fish.
Joel Tiss: Yes. I don't know about that. Is there anything to read into the receivables going up? Anything worrying people not paying? Or is it just that the extraordinary selling off of some of the receivables?
Eddie Lehner: I'm going to have Jim Claussen give you a little bit more color. I would tell you, in general, our credit team and our risk management team has done an outstanding job. Our exposure has improved, frankly. Our bad debt experience is down. Our collection cycles, as you can see, have improved. It's really volumetric and it's inflation-driven. So it's more -- it's better-quality working capital assets of a higher value, but I'll send it over to Jim.
Jim Claussen: Yes. Thanks, Eddie. Joel, Eddie hit on it. Really, the increase in receivables is simply revenue-driven, revenue-side-driven. Our collection cycles are good and really -- and nothing of any consequence on the bad debt side. So folks are paying current and really, it's just a reflection of the revenue growth.
Joel Tiss: Okay. And any -- can you give us any sort of stab at what year-end 2022 debt looks like?
Eddie Lehner: Looking out to year-end 2022, Joel, I just wanted to -- really wanted to stay on the safe side of the answer. I would say that past is prologue. There was a time, as you know, 6 years ago, when we managed with 11x leverage. And we took that high-yield debt from $900 million to $650 million. It's sitting out there at $300 million right now. And what we indicated in the release is if you look at the trajectory, just based on present events, you look at our history, I think you can model very easily where that high-yield piece winds up as we come upon our first call. And so we're going to continue to deleverage in the most intelligent way possible. But I think as we also indicated, given the amount of liquidity we have and given how we see the Ryerson operating model working going forward, we're playing a much better hand than we've been able to play for a long, long time. So we're going to continue to delever so that those multiples stay within that 1 to 2x range throughout the cycle. And we also think we're going to have opportunities to invest more in the business and return capital to shareholders.
Joel Tiss: And then just last, while you guys are puffing out your chest a little bit here, is there anything -- like if we think like transformatively over the next 5 years, like are there things that really make a lot of sense? Like you always have such a great vision of where the industry is going and how you guys are going to be unique and all that. Is there sort of potential for a merger of equals? Or is it better to focus on sort of building out your technology and being able to support all the EVs and all the different direction that we're going in from a lower-carbon standpoint?
Eddie Lehner: Yes. I mean look, we keep our eyes and ears open. As far as -- I've always said that there's a little bit of, what I'll call, safe cracking going on, where you got to get one tumbler at a time and you got to take them in the right sequence, you got to take them in the right order. That sequence is really important in terms of when you decide to do certain things. So we did a major acquisition, as you know, when we did Central Steel & Wire. And that was a heavy lift, and it's working out great, and the team has done a phenomenal job. And I mean everybody involved has done a phenomenal job. So we've shown that we'll take some big swings. But I think right now, the sequence of events is around building future-state systems, getting some capital back to shareholders and really finishing the work that we've done around the balance sheet. But we'll keep our eyes and ears open. We've got a very strong bolt-on pipeline. And we're always running different scenarios, Joel, thinking about what might make really good sense in the future. But getting that sequence right is really important.
Joel Tiss: Okay. Great. There's always the suck-up analyst who congratulates the management team, but I think you guys really deserve it this time.
Eddie Lehner: Now thanks, Joel, and we really appreciate it. Thank you.
Operator: [Operator Instructions] Okay. So it looks like we have no further questions at this time. I'd like to turn it back over to Mr. Eddie Lehner to have any additional or closing remarks.
Eddie Lehner: Thank you very much. We just want everybody out there to stay safe, be healthy and we look forward to seeing you on our next earnings call. Take care.
Operator: That does conclude today's call. We thank everyone again for their participation.